Operator:  My name is Emma. I’ll be coordinating your call today. It's my pleasure to hand today's call over to our first speaker, Heather Crowell. Please go ahead, Heather 
Heather Crowell: Thank you. Good morning, and thank you all for joining us for PREIT's First Quarter 2022 Earnings Call. During this call, we will make certain forward-looking statements within the meaning of federal securities laws. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts and are subject to risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company's SEC filings. Statements that PREIT makes today might be accurate only as of today, May5, 2022. And PREIT makes no undertaking to update any such statements. Also, certain non-GAAP measures will be discussed. PREIT has included reconciliations of such measures to the comparable GAAP measures in its earnings release and other documents filed with the SEC. We continue to partner with Say Technologies to offer an opportunity for any shareholder to ask questions of management. During the call, management will answer questions received over this Q&A platform, and we thank our investor base for their engagement in this process. Members of management on the call today are Joe Coradino, PREIT's Chairman and CEO; and Mario Ventresca, CFO. Joe?
Joe Coradino: Thank you, Heather, and good morning, everyone. It's clear that the mission in front of us is to achieve the credit facility extension and raise capital to delever the balance sheet. In the five weeks since our last call, we've made significant progress. Our asset sale pipeline is growing now with $275 million of transactions in process as new opportunities to harvest capital are presenting themselves as a result of the strength of the markets we operate in and the compelling opportunities we've created. Over 50% of our multifamily properties are entitled have obtained tenant approvals and are moving toward closing. And we are developing a longer-term plan that will demonstrate value for shareholders and an improved balance sheet that we expect to detail for you this summer. As we move to closing, on our first phase of multifamily land sales, we will be bringing Phase 2 to the market and expect to be able to execute on this more expeditiously, considering our hard foot entitlements and tenant approvals. This should generate an additional $100 million in proceeds. As we execute on our capital plan, we also are pleased with our continued operating strength driven by our exceptional capabilities that are driving consumer and tenant demand for our properties. Improving fundamentals are leading to better valuations and opportunities to raise capital. We continue to unlock value in our portfolio through the introduction of tenants and experiences that improve quality, drive NOI as well as strengthen our balance sheet and reduce our debt. We continue to be confident that we'll be in a position to exercise our credit facility extension later this year, extend our mortgage maturities and have the fashion district remargin payment resolved. Our strategy for improving our balance sheet is focused on liquidity and maturities. We are keenly focused on extending near-term maturities, including exercising the one-year extension of our credit facility. We're currently reviewing our options for our three upcoming maturities, Cumberland Mall, Woodland Mall and Cherry Hill Mall. All three of these properties have recently experienced strong sales and occupancy growth. Our goal continues to be to improve the portfolio, taking advantage of robust sales and outsized demand for space, while reducing debt, so that we can realize appropriate value and refinance the facility at expiration while investigating our strategic options. From a capital raising standpoint, last quarter, we noted over $120 million in transactions we expect to close before the middle of the year. We're currently forecasting this figure of $109 million. But this change is a result of new opportunities to harvest even more capital than previously anticipated. At this point, we have another $166 million of asset sales underway. While the mix of assets in our disposition pool continues to evolve, and we are out in the marketplace. The key point is that there is great interest in our assets, and we have and are now in various phases of negotiation for $275 million in asset sales. Specific to our multifamily land sales lead entitlements for three properties are making meaningful progress on a fourth. We continue to expect Moorestown will close this quarter. As it relates to land sales for hotels, we have an executed LOI for Moorestown Mall and an LOI for Springfield Town Center. We expect to close on the hotel and multifamily transactions at Springfield Town Center in mid-December. And we expect to utilize the capital to reduce outstanding debt, increasing our liquidity and reducing interest expense, resulting in improved earnings. Our plan to raise capital is materializing because we have curated a portfolio that is thriving due to our efforts to bring in dynamic and compelling uses. We continue to experience strong demand from consumers and tenants as many of our properties have emerged as a dominant enclosed retail destination in their respective markets with exclusive tenancy and the benefit of new anchors. Progress on the operating side of the business continues as well. Sales per square foot have grown by 32% over five years, an indicator of the quality we've cultivated. And over 1.25 million square feet of new stores have opened in the last 15 months as we have driven the portfolio to a swift recovery. The improving environment and our operating prowess have resulted in sequential growth in renewal spreads at 3.7% for the quarter, an indicator of improved pricing power driven by our quality portfolio. And currently, we have over 400,000 square feet of new leases executed for future occupancy, which will deliver over $6 million in annual revenue. Through April, traffic is up 10% year-to-date compared to 2021, and we are ahead of 2019 driven larger by our continual merchandising refresh. Specifically at Woodland Mall, traffic was up an impressive 41% over 2021 for the weekend after the Phoenix  data opened. Through March, core mall sales were $613 per square foot. Cherry Hill Mall sales continue to lead the way at nearly $1,000 per foot. Three of our other key assets, Mall at Prince George’s, Springfield Town Center and Woodland Mall have showed the largest sequential growth from Q4 2021. NOI continued to grow significantly up 18% over Q1 2021 on a same-store basis. These results were driven organically, a result of 2021's robust leasing activity and continued consumer strength. So we continue to make progress in improving operating fundamentals that will support our ability to on asset sales to improve the health of our balance sheet. We remain confident we will achieve our extension and are finalizing a longer-term plan that we plan to communicate to you this summer. Now I'll turn it over to Mario to review our financial results.
Mario Ventresca : Thanks, Joe. We continue to see strong fundamentals in sales, occupancy and leasing volume growth, leading to NOI and FFO improvement relative to last year. Liquidity is tracking ahead of our internal business plan. We ended the quarter with cash and unrestricted bank accounts of $34.3 million. When including capacity under the revolver, total liquidity was $110.5 million as of the end of the first quarter. Our strong leasing activity continues to drive performance. During the quarter, we opened 30 tenants in 125,000 square feet. We currently have a pipeline of 408,000 square feet signed for future occupancy. This represents over $6.8 million in annualized future rents. We are seeing positive same-store NOI trends. Same-store NOI increased 18% during the quarter, compared to the same period of last year. Our accounts receivable balance decreased by $5.3 million from year-end. The current balance of $37.2 million is approximately 10% less than our pre-COVID historical AR balance of $41.3 million, which was as of December 31 of 2019. Base rents for our wholly-owned same-store assets increased by $2 million or 4.4% as compared to the first quarter of 2021. Add to that, we have had no bankruptcies during the quarter as tenant performance and financial strength continue to improve. Comp sales are exceeding underwritten expectations. We ended the quarter with comparable tenant sales of $613 per square foot, which is a $10 increase per square foot over sales at the end of 2021. This morning, we reported first quarter 2022 NAREIT FFO of negative $1.2 million, or negative $0.01 per share and FFO as adjusted of negative $4.8 million, or negative $0.06 per share. This was driven largely by interest expense. To provide a relevant data point, a pro forma 50% reduction to normalize the above-market portion of our interest expenses would result in a $0.09 per share improvement in quarterly FFO. For the quarter, results were primarily impacted by a strong leasing and sales environment, resulting in increased rent, percentage rent, percentage sales and common area revenue, which totaled $3.5 million and a decrease in credit losses for challenged tenants of $2.1 million, compared to the three months ended March 31, 2020. Lease termination revenues have increased by approximately $800,000 over the first quarter of last year. Also in the quarter, G&A expenses decreased by $300,000, driven by a reduction in people costs. Moving to operating metrics. We ended the first quarter with total occupancy at our core malls of 92.7%, an increase of 500 basis points from the first quarter of 2021. This improvement includes many large format tenant openings, Tilted Magnolia Mall that replaced JCPenney, Power Warehouse at Cumberland Mall that replaced Burlington, Turn 7 at Moorestown that replaced Lord & Taylor. All of these are indicators of our expeditious anchor replacement program. Core mall in-line occupancy of 88.8% grows to 94% when factoring in the pipeline of executed leases.  Looking ahead to the balance of 2022, we are up against strong comps from last year where we recovered significant revenue from deferred rents, but do expect to continue to drive organic revenue growth as a result of incremental leasing activity and improving renewal spreads. To reiterate what we have said previously, we fully expect to achieve the credit facility extension later this year. With that, we will begin our Q&A session.
A - Heather Crowell: Thanks, Mario. I will now share the top questions received on our Q&A portal. The first question is, what will be done to ensure that freight does not get delisted?
Joe Coradino: Actually, we have until August 4 to regain compliance, and we're currently reviewing our options with both our advisers and our Board.
Heather Crowell: Thank you. The second question is, are you still on track to sell over $120 million in land and operating parcels by the middle of this year. Beyond these sales, what is the outlook for further capital raising?
Joe Coradino: As we mentioned in our remarks, we now have transactions underway for $275 million in asset sales as the quality of our portfolio continues to surface interest.
Heather Crowell: Many investors are concerned about the company's ability to meet creditor requirements as stipulated in the recent restructuring agreements. Does the company have sufficient recurring revenue to meet obligations to creditors?
Joe Coradino: When including capacity under the revolver, total liquidity was $10.5 million as of the end of the first quarter. As we mentioned in our prepared remarks, we're confident we'll achieve the extension. And we have $275 million in asset sales in process and are underway with a longer-term plan that will communicate this summer that positions the company for refinancing in the future.
Heather Crowell: Do you plan on paying the dividend?
Joe Coradino: You do hope to be to position ourselves to be dividend paying again in the future. However, our current credit facility does prohibit paying dividends.
Heather Crowell: Thank you. What does the current leasing environment look like? Are you seeing more inquiries from prospective tenants?
Joe Coradino: The leasing environment continues to be robust. We have a healthy and growing pipeline of signed leases currently with over 400,000 square feet of new leases and a strong pipeline.
Heather Crowell: Thank you. Our last question for today is, did the company recently failed to meet creditor obligations regarding reserve cash balances triggering a cash call back from creditors? If so, how has this been addressed to ensure solvency?
Joe Coradino: Absolutely not. We are in compliance with our credit facility covenants and expect to achieve our one year extension later this year.
Heather Crowell: Thank you. That concludes our Q&A session, and I will turn it over to Joe for closing remarks.
Joe Coradino: Thank you all for listening today. Our operating performance continues to be a bright spot, and we are confident that our efforts on our capital plan will allow us to secure our credit facility extension and extend our outstanding maturities, and we look forward to presenting to you a longer-term strategic plan this summer. Thank you all, and have a good day.
Operator: This concludes today's call. You may now disconnect your lines. Thank you all for joining.